Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro's First Quarter 2015 Results Conference Call. Today with us, we have Mr. Mariano Bosch, CEO; Mr. Charlie Boero Hughes, CFO; and Mr. Hernan Walker, Investor Relations Manager. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the Company's presentation. After the Company's remarks are completed, there will be a question-and-answer section. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro's management and on information currently available to the Company. They involve risks, uncertainties, and assumptions because they relate to future events, and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Adecoagro and could cause results to differ materially from those expressed in such forward-looking statements. Now, I'll turn the conference over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference.
Mariano Bosch: Good morning everyone, and thank you for joining our call. I would like to go through some of the main highlights of the quarter. In our sugar, ethanol and energy business, we had a very good start of the harvest although the first quarter is not relevant in terms of earnings I would like to highlight a few points that demonstrate the consolidation of our operations and the outlook for the year. First of all we have been able to accelerate the start of the harvest. Our clusters have begun operations 25 days earlier than last year. This strategy will allow us to have a longer harvestation, which would result in a more efficient use our fixed assets and dilute our costs. Accelerating the harvest was only possible by being very efficient in all the inter harvest maintenance works performed at the mill and most importantly by having sufficient availability of sugarcane planted, which brings me to the second point I would like to highlight. Our sugarcane plantations is in very good conditions all of the improvements are enhancement we have been making in our agricultural operations are starting to transform into higher productivity. Yields per hector and TRS continue increasing year-after-year. The third point is that despite the low commodity cycle we are in, we continue generating positive margins. This is the result of our competitive cost factor which is driven by the fact we have one of the highest cotton breeds in the industry, with pay very competitive leases rates compared to the Sao Paulo and we produce 95% of the sugarcane that is applied to our mills with high productivity. In addition I would like to highlight that our commercial and financial teams have been able to develop efficient setting strategies that have increased our pricing and profitability. Some examples are, the ethanol carry strategy we did last year, and our sugar hedge of $0.157 per tonne. In summary although we have just started the 2015-2016 harvest and there are still many challenges and risks ahead, we are well positioned to have a great year. Regarding the Farming & Land Transformation business we are harvesting very good yields in our main crops and that helps compensate the lower commodity cycle we are experiencing. Lastly I would like to highlight that with the completion of the Ivinhema mill, we have essentially finalized our existing growth plans. As of today and assuming no additional growth commitments we expect to see a slowdown in capital expenditures during 2015 and 2016. So, as you can see we remain fully focused in execution and efficiency gains to be the low cost producers in each of our commodities and that generates attractive cash flow and maintenance for our shareholders. Now, I would like to ask Charlie to walk you through the main operating and financial highlights of the quarter. Charlie, please go ahead.
Charlie Hughes: Good morning everyone. And thank you for joining Adecoagro's earnings call for the first quarter of 2015. I would like to walk you through a few slides that reflect the main operational and financial highlights of the quarter. Let's start on Page 4, where I would like to highlight weather conditions in cluster in Mato Grosso Do Sul. I would like to remind you that the first quarter is the summer season in Brazil. The high temperatures and abandoned rain falls during summer are a key component in the development and growth of sugarcane. As shown in the chart, rainfalls during January to March have been essentially in line with the historical average. Our sugarcane plantation has developed as expected. Moving on to the next slide, we will focus on sugarcane crushing. Our mills have been able to accelerate the start of the harvest season compared to previous years. The Angelica mill began crushing on March 11, 15 days ahead of the previous season, and the Ivinhema mill began on March the 16th 40 days earlier than last year. After restart we are able to crush 465,000 tonnes of sugarcane almost 10 times more than the first quarter of 2014. Anticipating the start of the harvest impart of our strategy of extending the harvest season, in a highly mechanized industry where over 85% of total costs are fixed this strategy would allow us to increase sugarcane crushing and production during the year, diluting fixed costs and enhancing margins. Two key factors that contributed to the early start of the harvest hour, first, our operational teams were able to minimize the time required for the in-harvest maintenance of industrial and agricultural equipment and second but most important the expansion of our sugarcane plantation over the last couple of years have supplied sufficient cane to allow a longer milling season. Let’s move to Page 6 to analyze this. As you can see on the left hand chart our sugarcane plantation has been consistently growing year-after-year at an average growth rate above 20%. We currently have 126,000 hectares of sugarcane. We’re very close of reaching our stabilized plantation size, which will allow us to supply our 10 million tonnes of nominal crushing capacity. This explains why sugarcane planting has slowed down in the first quarter of 2015 compared to the previous year as you may see on the chart on the right. I’d like to shift your attention to Page 7 where I would like to highlight our few sugarcane productivity metrics. Over the last couple of years we have focused on training and strengthening our agricultural team and improving our agricultural efficiency. Some specific areas we’ve focused on with very good results include first effective implementation of pest controls, second, selecting the best sugarcane verities for the region in terms of yield and TRS potential. Third, allowing sugarcane to reach its optimum growth before harvest or in other words not harvesting sugarcane with less than 12 months of growth. And fourth, we’re planting sugarcane each year to renew the maintaining the productivity of our plantation. These improvements among others coupled with favorable weather are responsible for a 41% increase in yields and a 15% increase in TRS which have resulted in a 62% increase in TRS per hector in the first quarter of 2015. Let’s move to Slide 8, sugar and ethanol also boosted during the quarter driven by the increase in sugarcane milling and the higher TRS. As you may see in the bottom left chart measured in tonnes of TRS, production grew from 3,500 tonnes to 51,400 tonnes. In the case of energy production increased by a moderate 13% significantly lower than the increase in milling, this is explained by two main factors. Firstly, the fact that in the first quarter of 2014 we generated a large amount of energy by burning a stockpile of the gas, which was leftover from 2013, and secondly, in the current quarter we suffered the issue at the start of summer for our generators in Angelica and Ivinhema mills. Therefore core generation per tonne of sugarcane was lower than expected. Nonetheless it’s important to highlight that the bagasse was not burned during this quarter as a result of these delays fits in our inventory and it will be burned and transformed into energy throughout the year. Let’s now turn to Page 9 where I would like to comment on ethanol sales. The 37% growth in ethanol sales volumes during the quarter was related to the ethanol current strategy we implemented during mid 2014. As you may see in the top chart ethanol prices reached the lowest annual level between August and October 2014 which is coincidental with the peak of the sugarcane harvest. Hydrous ethanol prices traded below 1,000 reals per cubic meters. At that time we’ve started to reduce our monthly sales volumes and started storing ethanol in our storage tanks of the mill in order to capture higher prices during the inter harvest season. As a result by the end of 2014 we have ethanol inventories of 76,000 cubic meters. As you may see in the price curves ethanol prices increased during the year and continued increasing during January and February 2015 reaching a high of 1,380 reals. The strategy allowed us to capturing average 15% higher prices in the inter harvest season compared to the mid-2014 where we have started the carry, increasing our margins and return on invested capital. Year-over-year net sales grew by only 8%. The growth in volumes was offset by lower prices compared to the first quarter of 2014 prices in the current quarter were 4.6% lower in reals and 21.1% lower in U.S. dollars. Now let’s please turn to Slide 10 where I’d like to discuss energy sales. As you may see in the top left chart, hydroelectric power in Brazil continues to soften from the lack of water, water levels at reservoirs we may have five year lows, despite this situation on November of 25th of 2014 the Brazil’s National Energy Agency decided to lower the selling price of energy from 822 reals to 388 reals per megawatt hour. Spot energy prices during the quarter traded other price CapEx. Therefore as you may see in the charts below despite a 13% growth in volumes our net sales fell by 46%. Our realized prices decreased by 52% from 201 per megawatt hour to $97. This reduction is primarily explained by the depreciation of the real coupled with our lower price for spot sales. We like to remind you that 70% of our energy experts in 2015 our hedged in long and short-term contracts at 262 reals per megawatt and only 30% is sold in the spot market. Finally in global sugar, ethanol and energy business I would like to focus on Slide 11. Here we can see the overall financial performance of the sugar, ethanol and energy business. Total net sales during the quarter reached 50.5 million, 4% higher than the same period of 2014. As explained to you in the previous slides the growth in volumes was mostly offset by lower prices. Adjusted EBITDA increased significantly during the quarter from 3.8 million in the first quarter of 2014, 17.9 million in the first quarter of 2015. Adjusted EBITDA margins expanded from 7% to 36%. Adjusted EBITDA growth is explained by first the ethanol carry strategy, second an accelerated start of the milling season. Third higher agricultural productivity and the last but not least our 12.3 million gain from our sugar variability hedge position. Let move to Slide 12, where I would like to explain this hedging gain. As of March 31, 2015 we had 362,000 tonnes of sugar 2015 hedged at 0.157 per product sugar equivalent. Due to a contract at the same time where trading of 0.135 per pound. Therefore the mark to market of the position generated an unrealized gain of 12.3 million. I would like to shift your attention to Page 14, where I would like to comment on weather conditions during the current harvest season. The chart shows the monthly average rainfall evolution for our farms located in the humid pampas region of Argentina, which is our core production area. As you may see, both wind levels and rain distribution were in line with the historical average. A critical growth period for a crop is during the flowering period where water requirements speak. Soil and humidity levels were at good during the flowering of early corn, soybean and wheat corn enhancing crop development and growth. On Page 15, we can see the harvest of our crops is well advanced for soybean and recently starting for corn. Harvested soybean and corn yields are currently 6% and 3% above in the previous season. We expect yields to stay at similar levels as we continue harvesting the remaining areas. Because of rice the harvest is essentially complete. Yields have underperformed compared to the previous harvest and are below our expectations. The 7% decrease is explained primarily by excess rains and cloudy days in the Northeast of Argentina, which hampered the development and growth of rice plans. Let's move to Page 16, where I would like to walk you through the financial performance of our farming business. Despite higher productivity and volumes in most of our segments consolidated EBIT decreased by 37% primary driven by the fall in commodity prices. In addition the rising inflation in Argentina is more than offset the nominal depreciation of the Argentinean peso. Resulting in an appreciation of the currency in real terms, which is increasing our costs measured in dollars and putting pressure on our margins. In the case of crops adjusted EBIT has decreased by 28% to 14.8 million. The reduction is primarily explained by the lower soil, corn and wheat prices and higher costs in dollar terms partially offset by higher yields and positive results from our commodity hedging position. Regarding rice business the 57% fall in adjusted EBIT is also explained by the combination of one, lower yields, and two, higher costs in dollar terms driven by the appreciation of the Argentina peso in real terms. In the case of the dairy business our operational performance during the quarter was very good and we continue to see improvements as we consolidate the soybean facilities. Soybean production volumes increased 5% year-over-year driven by a 2.8% increase in productivity and a 2.3% growth in our dairy cowherd. The gains from productivity were offset by higher costs measured in dollar terms resulting in a 7% decrease in adjusted EBIT. Let's turn to Page 17. As previously noted the following commodity prices were partially reversed by the gains we started from the mark-to-market of our hedge position. As we can see in chart below, 99% of our 2014-2015 soybean production is hedged at $0.1157 per bushel. Current market prices for the July futures contracts are below $0.1000. In the case of corn, approximately 98% of our 2014-2015 is hedged at $0.530 per bushel, significantly higher than current prices for the July future conference. As explained in the previous slides, the mark-to-market of these derivates and hedge positions generated an 8.8 million during the quarter. Let's now turn to Page 19, which shows the evolution of Adecoagro’s consolidated operational and financial performance. On a consolidated basis, net sales increased year-over-year, from 95 million in the first quarter of 2014 to 109 million in the first quarter of 2015. The 16% increase is explained primarily by higher sales from last year inventory, despite lower market prices across most of our products. Adjusted EBITDA in the first quarter of 2015, totaled 35.8 million representing a 3.3% increase compared to the first quarter of 2014. Improvement in financial performance was primarily driven by our sugar, ethanol and energy business as explained throughout the presentation. We expect the Adecoagro’s production volumes and financial performance to continue growing in line with historical growth, mainly driven by the consolidation of our sugarcane cluster and an increase in operational and financial efficiencies in each of our businesses. Let's move on to Page 20, as you may see on the top left chart, our gross indebtedness as of March 31 of 2015 stands at 778 million and net debt stands at 580 million. Net debt, slightly lower compared to December of 2014 and 7% higher compared to March, 2014. The year-over-year increase in net debt is explained by the cash deployed for the construction of the Ivinhema mill. I'd like to highlight that 75% of our debt is in the long-term, composed mainly of loans from multilateral banks such as the BNDES and the Inter-American Development Bank at very competitive rates. Finally, let's move to Page 21, where I would like to comment on CapEx. As anticipated in our fourth quarter 2014 conference call, total CapEx is expected to slow down during 2015, driven by the completion of the Ivinhema mill and the consolidation of our sugarcane cluster in Mato Grosso do Sul. We can already see the downward trend reflected in the current quarter. Capital expenditures during the first quarter of 2015, reached 63 million, 54% lower than the same period of 2014. As of today, no major growth project has been committed for 2016 and forward, therefore we expect CapEx to consist primarily on maintenance related to the sugar and ethanol business. This includes the planting of sugarcane to renew our plantations and the inter harvest maintenance of bidding on agriculture equipment. We expect CapEx to range between 150 million and 170 million in 2015, and between 80 million to 90 million in 2016. Combination of decreasing CapEx and increasing cash generation will allow Adecoagro to start generating attractive levels of free cash flow starting in 2016. Thank you very much for you time, we are now open to questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from Rodrigo Mugaburu from Morgan Stanley. Please go ahead.
Rodrigo Mugaburu: I have two questions on Argentina. First, it seems to be a debate on currently, farmers are going to plant more wheat expecting some changes on tax rate structure by year-end. Specifically, what is Adecoagro is going to do? Are you thinking an increase in planted area of the wheat, betting on that change? And then the second question is related to the yields. Bolsa de Cereales de Rosario, they're expecting roughly a 9% increase on yields year-over-year for soybeans and 7% for corn. The bottom-line question is, can we expect a little bit more upside yields on Adeco above the 6% that we saw for soybeans? Thanks.
Mariano Bosch: Hi, Rodrigo, it’s Mariano, how are you? Regarding the first part of your question of whether we are betting on planting wheat according to changes, the answer is no, we do have a plan to plant a wheat that is in line with what we’ve been doing in the past years and as we’ve always mentioned the priority for us when we are the shining our planting plan is the long-term rotation and we take that into account on top of the -- there I think so we have this long-term view for our short-term we consider it is important to continuing planting wheat. So that’s why within the three planting of wheat last year and so this year we will continue with similar of what you’ve seen in the past for Adecoagro. So that’s according to wheat and then regarding the second part of the question whether there is still more potential for improvement on our yields, we analyze of what we are seeing today on what we have harvested. There is still more room. And if we continue to have a good harvest timing and we don’t have any excessive rates or any problem on the harvest we should still see little bit more of improvement on the potential yields that we are harvesting today.
Operator: Our next question comes from Isabella Simonato of Bank of America Merrill Lynch. Please go ahead.
Isabella Simonato: I have a question regarding leverage based on the CapEx expectations that you guys have for 2015 and 2016, what is the target leverage that you see by the end of this year, by the end of 2016? Thank you.
Mariano Bosch: Hi, Isabella, I want to ask Charlie to answer your question. Charlie?
Charlie Hughes: Hi, Isabella, how do you doing? Actually we are expecting to maintain our net debt to EBITDA ratio as of the end of December of this year as the one that we have at the beginning.
Isabella Simonato: And for next year, given that free cash flow generation should be much higher?
Charlie Hughes: That’s a good question. As you may know in 2016 we will be generating very good cash flow considering that we have finished our CapEx plan for this year. So we are expecting to reduce the net EBITDA ratio to a level that would be in the range of two times, net debt to EBITDA.
Operator: [Operator Instructions] Our next question comes from Ravi Jain of HSBC. Please go ahead.
Ravi Jain: The first question was mainly on the Argentine, let say, potential changes in the regulation, what is your expectation after the election in the second half as to what are the potential positive moves that we could see in the agri business sector in Argentina? That’s my first question. And secondly just following up on the FCF question given that you’ll have a positive free cash flow going forward in the next couple of years, have you given thought on what are the other strategies for your growth of operations, whether it’s an sugar ethanol or whether it’s in farming, what are potential opportunities that you are exploring? Thank you.
Mariano Bosch: Hi Ravi, thank you for your questions. First, regarding the Argentine policies and potential changes and we all hear what the different candidates to run a country are saying today and what we see is that they all acknowledge the importance of this sector in the economy. And so all would be heard so far from them it is a very positive for the sector and some of them are even more clear saying that they will reduce the export, what are the export taxes and so all that would be extremely positive for our business of course. So that is regarding the potential changes for Argentina. And then regarding your question on how do we see or how do we expect the growth regarding the positive free cash flow that we will be generating. Again as we’ve been talking before or saying before we are always focused on the return on investment. So we will be very disciplined as we’ve been in the past on analyzing which are the best returns that we can see. So within the sugar, ethanol and energy business there are some opportunities that we’ve been analyzing and we still look at them and we see whether their returns are attractive enough in order to do a little bit more of that, same thing for the rise in Argentina or the dairy basis in Argentina so there are opportunities but there we will need to be very disciplined on our analysis of the return on investment.
Ravi Jain: One quick follow-up on that point so in case the opportunities especially in the sugar ethanol space do not come up to your return on investments should we then expect may be the extent of dividend to be raised if you don't find the right opportunities does that make sense?
Mariano Bosch: Yes. Of course within the analysis that we are always doing on this disciplined analysis of the return on investment they are giving back the money to the shareholders is an alternative reservation in the analysis through dividends or through the most efficient way that we want to.
Operator: [Operator Instructions] Our next question comes from Vincenzo Paternostro of Credit Suisse. Please go ahead.
Vincenzo Paternostro: My first question is on land market in Argentina I appreciate if you comment on how is the market in terms of liquidity and land price given this environmental flow lower growing price? So that's my first question. And my second question is on sugar price we have seen sugar price in the pressure in the past two years and my question is if when you expect the sugar price to start recovering and you for long term price? Thank you.
Mariano Bosch: On your first question regarding prices of land, we've been always understanding prices of land being related or strong before related to the BCF of that land so with lower commodity prices in general if margins are lower prices of land should be lower and that's how we analyze always the prices of land. So that's why we are saying that a prices of land in Uruguay in Brazil mainly are higher than what we consider should be according to the cash flow generation and prices of Argentina haven't gone that up as debatable on all over their region including Uruguay, Paraguay even Bolivia and Brazil and the cash flow since generation when we compare within the different countries are some ways higher regarding according to their prices so with this level we don't see them increasing but we see more potential in Argentina than in the other countries in the region. So, that would be our view and regarding liquidity that you were also asking in general this is a market they've learnt a farm sides or farm is a relatively illiquid market so that's why we always would be nor do I seeing this some in relatively illiquid and this also gives us the opportunity to take advantage either on buying on selling of this potentially liquidity. So that is the answer of the question regarding land prices. Then I'm going to ask a Marcelo Sanchez, our Commercial Director to answer your question regarding the sugar prices on our view there.
Marcelo Sanchez: What we have seen of course your remarks on the sugar price and the pressure within the last two years that is has not been an news for us, we've been expecting that from the past as you can see in our hedges position even though we don't see the prices recovering shortly we expect prices to move on a positive scenario for second half of next year.
Operator: [Operator Instructions] Our next question is a follow-up from Rodrigo Mugaburu from Morgan Stanley. Please go ahead.
Rodrigo Mugaburu: A question on rice you mentioned on your release that you do see upside potential for the yields when all the land transformation is stabilized so on the mid long-term what is your target or what can we assume in terms of tonnes per hector for rice?
Mariano Bosch: We have this particular year rain and summer. Rain and summer means lower rain, so was not a very good year for rice yields but it was a very good year for soya and corn. So this is a particular year in the rice yields that have been affected by weather. But in average within all this adjustments or improvement of efficiencies that we are doing we can expect or we target yield that should be a between 6 and 6.5 tonnes per hector in the relatively short future as you have heard we have been doing a lot of improvements on our sugar leveling and all this improvement on the farming system.
Operator: Thank you. This concludes our question-and-answer session. At this time I’d like to turn the floor back to Mr. Bosh for any closing remarks.
Mariano Bosch: So, thank you everyone for joining the call. We have a very important year ahead of us and we continue to focus on execution and improving efficiencies in all our commodities to be the lowest cost per usage for each one of these commodities. So thank you for joining us today and have a good day.
Operator: And thank you, sir. This does conclude today’s presentation. You may disconnect your lines at this time and have a nice day.